Operator: Good day, ladies and gentlemen, and welcome to the INTL FCStone Second Quarter Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Bill Dunaway. Sir, you may begin.
William J. Dunaway: Good morning. My name is Bill Dunaway, CFO of INTL FCStone. Welcome to our earnings conference call for our fiscal second quarter ending March 31, 2015. After the market closed yesterday, we issued a press release reporting our results for the fiscal second quarter. This release is available on our website at www.intlfcstone.com as well as a slide presentation, which we will refer to on this call in our discussions of the quarterly and year-to-date results. You'll need to sign on into the live webcast in order to view the presentation. Both the presentation and an archive of the webcast will also be available on our website after the call's conclusion. Before getting underway, we're required to advise you, and all participants should note, that the following discussion should be taken in conjunction with most recent financial statements and notes thereto as well as the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meaning of section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. These forward-looking statements involve known and unknown risks and uncertainties, which are detailed in our filings with the SEC. Although the company believes that its forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can be no assurances that the company's actual results will not differ materially from any results expressed or implied by the company's forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. With that, I'll now turn the call over to Sean O'Connor, the company's Chief Executive Officer.
Sean Michael O'Connor: Thanks, Bill, and good morning, everyone, and welcome to our fiscal 2015 second quarter earnings call. Overall, this was a very good quarter for us. And after a long period of sub par financial performance, I'm glad to report that we nearly achieved our long-term ROE target of 15%. This is validation of our business model and the hard work we have put into broaden our capabilities and deepen our client base. A more normal interest rate environment could potentially add incrementally 5 to 7 points of ROE to our results. Our net income was $13 million for the quarter, up 73% and up 124% for the year to date. Our EBITDA for the quarter was just shy of $25 million. Our diluted EPS for the quarter was $0.67, up 72% over a year ago, and our year-to-date EPS for the 6 months period was $1.16, up 127%. This quarter, we achieved record operating revenues, our third consecutive record for operating revenues. Operating revenues were up 21% versus a year ago, both on a quarterly and a year-to-date basis. This quarter was also a record for net earnings in a number of our segments and -- both in terms of operating revenues and in segment earnings. I would also like to point out that we saw very significant increases in transactional activities versus the year-ago comparisons, with Global Payments in our global business up better than 80% in terms of volumes, equity market-making up over 40%, foreign exchange volumes up 20% and our swaps activity up 17%. Some of these large increases in volumes were offset by slightly lower revenue capture statistics that showed excellent results overall and indicative of both better market conditions and growth in our market share and client base. As we have mentioned on previous calls, we have for some time now seen a steady and modest improvement to overall market conditions and continued industry consolidation. All of this has resulted in steadily improving revenue environment for us. Some quick highlights for the quarter. Bill will run through the results in more detail after me. Firstly, the segment net income was up 35% overall, and the majority of our segment showed significant percentage increases in segment income for the quarter. The only exception was our largest segment, Commercial Hedging, which was down marginally against a year ago, but still up significantly on a year-to-date basis. In the commodities hedging business, the LME group was a stand-out performer, with revenues up 31%, continuing its round of successive quarterly records. And in addition, our soft business, that being coffee, sugar, cocoa and other verticals, which was up 59%. While last quarter was all about our largest segment, Commercial Hedging, this quarter is all about our Securities business. The Securities segment added an incremental $8.4 million of segment net income this quarter and was up 221% over a year ago, although this was admittedly a weak comparison. There are a number of reasons for this increase. Firstly, the equity market-making business nearly doubled its revenues versus a year ago. In addition, this was the first quarter we have reported the results of our recent acquisition of G.X. Clarke, which is focused on rate. This business has settled in very well and has so far exceeded our expectations. We are very excited to have them on board. The third factor was the negative results we had in Argentina last quarter were rectified in part this quarter. Global Payments continued its strong volume, with payments up double from a year ago, although revenue per trade declined by 28% as we continue to see a change in the business mix, with most of the growth coming from smaller payments from our bank partners. Our Physical Commodities business continued to improve nicely with the reworking of the precious metals groups. And Clearing and Execution had a strong quarter largely off the back of the FX business, which benefited from increased volatility and client trading. Both of these segments showed about 40% increases in segment income. Looking at the year-to-date highlights. Overall segment income was up 37%, and every one of our segments showed stronger growth in segment income. Commodities Hedging added the most incremental segment earnings, nearly $12 million for the 6 months, and up 34% due to a very good first quarter. LME was a stand-out on the exchange traded part of the business despite some bad debt, and OTC revenues were up 25% overall, with soft and energies growing 204% and 52%, respectively. Global currencies segment net income was up 36% off the back of an 83% transaction growth, while average revenue per payment fell by 31%. As discussed last time, we have now moved forward to consolidate our U.S.-based broker-dealer with our U.S.-based FCM and have filed the necessary applications with the regulator. We should be in a position to close this internal reorganization in the next quarter or 2. And once completed, this should result in better utilization of capital and give us the ability, over time, to rationalize systems and infrastructure costs. During the quarter, we continued to hold our interest earnings from our segregated funds due to added investments in short-term U.S. Treasuries and swaps, which has added nicely to the net earnings. I'll now hand you over to Bill Dunaway for a discussion of the results. Bill?
William J. Dunaway: Thank you, Sean. I'd like to start my discussion with a review of the quarterly results. I'll be referring to slides and the information we have made available as part of the webcast. Specifically, starting with Slide #3, which represents a bridge between the second quarter operating revenues from last year to the second quarter of fiscal 2015. As noted on the slide, second quarter revenues were a record $156.5 million, which represents a 21% increase as compared to the $129.2 million in the second quarter of 2014. The most notable change was an $18.9 million or 110% increase in Securities segment operating revenues. Within this segment, equity market-making revenues increased $6.9 million versus the prior year as transactional volumes increased 53%. In addition, debt trading revenues increased $13.4 million, driven primarily by the acquisition of G.X. Clarke & Co. at the beginning of the quarter, which added $10.5 million in incremental operating revenues. The second largest increase is recent Global Payments segment operating revenues, which had another record quarter as transactional volumes increased 101% as compared to the prior year. An increase in payments from the financial institutions drove this growth. However, it resulted in decline in the average payment size, which led to a decrease in the average revenue per trade. While the absolute dollar volume increased and Physical Commodities segment was only $1.3 million as compared to the prior year, this represented a 25% increase over the prior year, driven by strong volume growth in precious metals. The increase in operating revenues in our core Commercial Hedging segment as well as the CES segment were relatively modest as a result of marginal growth in exchange traded volumes in both segments as compared to strong prior year quarters. OCC volumes in the Commercial Hedging segment increased 30%. However, OTC revenues declined as a result of narrowing the spreads in the energy and renewable fuels market. Both the modest growth in exchange volumes and lower spreads in OTC revenues were driven by lower levels of overall market volatility. The increase in both of these segments was really driven by an increase in interest income, which I will discuss in further detail later on this call. Moving on to Slide #4, which represents a bridge from the second quarter pretax income in 2014 to the current period. The biggest contributors to the overall $7.8 million increase in pretax income was the Securities segment, which increased $8.4 million; and Global Payments segment, which increased $3.6 million as a result of the significant increase in operating revenues in those segments. The segment income in the Commercial Hedging segment declined $900,000 despite the $900,000 increase in operating revenues primarily as a result of the $1.4 million in bad debt expense related to 2 parties and clients of our LME metals business. An increase of $4.8 million in unallocated overhead expenses tempered some of these segmental gains. This increase is primarily driven by the acquisition of G.X. Clarke & Co., which added $2 million in unallocated expenses as well as a $3.6 million increase in variable compensation related to strong growth in company performance. Overall, interest income increased $7.1 million to $9 million in the second quarter. Historically, our interest income has been driven by the average customer segregated equity in our Commercial Hedging and CES segments as well as the short-term interest rate. Our acquisition of G.X. Clarke during the second quarter resulted in a significant change to our aggregate level of interest income, adding $5.2 million in interest income during the second quarter. Slide #5 shows the interest income in our futures commission merchant, or FCM, which holds the customer segregated balances and is the source -- was the source of the majority of our interest-earning assets. The increase in interest income shown here plus the modest increase in our swap dealer resulted in a $1.6 million increase in interest income in our Commercial Hedging and CES segments. This was the result of a 12% increase in average customer segregated deposits to $1.9 billion and to a greater extent, the continued implementation of our interest rate management program, which includes the purchase of medium-term U.S. Treasury notes and the utilization of interest rate swaps. Overall, our portfolio of investments averaged $1.5 billion for the second quarter, earning $1.7 million in interest income for an average yield of 46 basis points. Excluding cash and money market mutual funds, we held approximately $1.1 billion of U.S. Treasury investments at the end of the quarter and $100 million in interest rate swaps. The overall portfolio, including both the U.S. Treasuries and the swaps, had a weighted average duration of approximately 20 months at the end of the period. Moving on to Slide #6, our quarterly financial dashboard. I'll just highlight a couple of items of note. Variable expenses represented 57.4% of our total expenses for the quarter. And nonvariable expenses, which are made up of both fixed expenses and bad debt expense, increased $5.7 million or 11%. This increase in nonvariable expenses is primarily driven by the acquisition completed in the quarter, which added $3.2 million as well as $2.4 million increase in bad debt expense primarily related to LME metals business and a note receivable related to loans pertaining to a prior acquisition. Net income from continuing operations in the second quarter was $13 million versus $7.7 million in the prior year period, which resulted in the 14.4% ROE, nearly reaching our long-term goal of 15%. Finally, in closing out the review of the quarterly results, the trailing 12 months results have led to an increase of 9% in the book value per share closing out the quarter and $19.48 per share. Next, I'll move on to Slide #7 for a discussion of the year-to-date results. This slide demonstrates strong revenue growth across all of our business segments. Our core Commercial Hedging segment revenues increased $23.7 million or 22% versus the prior year, driven by both exchange traded and OTC volume growth primarily in agricultural and LME metals markets. The second largest increase was in the Securities segment, which added $14.7 million in revenue as a result of both the G.X. Clarke acquisition and a 43% increase in equity market-making volume. Global Payment revenues continued to grow, adding $7.2 million in the quarter, while CES and Physical Commodities segments revenues added $4.3 million and $2.6 million, respectively. Next, moving on to Slide #8, which represents a bridge from the prior year-to-date period to current year net income. Similar to the growth in operating revenues, segment income in the Commercial Hedging and Global Payments segment saw the largest increase in the segment income. The $14.7 million growth in operating revenues in the Securities segment were somewhat tempered in the resulting segment income growth of $2.9 million for the current year-to-date primarily as a result of poor performance in the debt trading business in Argentina in the first quarter of this fiscal year. Finally, moving on to Slide #9, the year-to-date dashboard. I will highlight just a couple of metrics. Net income from continuing operations increased 122% over the prior year-to-date period to $22.4 million, which represented a 12.6% ROE for the current year-to-date results. In addition, we have now exceeded our internal target for the year-to-date period and average revenue per employee, which reached $512,000 per employee in the current year. With that, I'd like to turn it back to Sean to wrap up.
Sean Michael O'Connor: Thanks, Bill. I'm glad to see we have some green on our dashboard, finally. We believe, over the last 6 quarters or so, we've seen a gradually improving trend in our results. And we are now operating nearer to our targets and the potential we believe is inherent in our business. This improved results is aided by generally better market conditions as volatility has started to return to a more normal level and industry consolidation continues. We believe that our multi-capability, multi-asset class business, which has been both over many years is a key determinant of our long-term success. This approach allowed us to effectively and efficiently leverage our capital, our infrastructure and our client relationships, resulting in sticky and meaningful relationships with our midsize clients and the potential for attractive long-term returns to our shareholders. In the current environment, we are seeing numerous acquisition opportunities, especially amongst midsize, monoline firms that cannot achieve the synergies on capital and infrastructure costs that we can with our multi-capability, multiproduct approach. We continue to adopt a cautious approach and will only proceed with acquisitions that fit in with our client-first culture, our client relationships and/or capabilities that we don't have and are priced appropriately. Despite having concluded many acquisitions over the last few years, we firmly believe that the best and lowest-risk way for us to create shareholder value is through organic growth. We also believe that our current platform is unique and poised for good, continued growth, and so we can remain value-oriented and opportunistic on the acquisition front. With that, I would like to turn it back to the operator to open the question-and-answer session. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Jeremy Hellman with Singular Research.
Jeremy Hellman - Singular Research: I just wanted to go to a comment you made in the outset of your press release, where you talked about increased market share. I just wanted to see if you could speak to how you're driving those market share gains. Is that just grassroots in the trenches marketing or any other dynamics that you're playing out there?
Sean Michael O'Connor: I think it's a combination of, hopefully, 2 things. One, grassroots marketing. And we're spending a lot of time internally trying to sort of fine-tune our sales process, trying to make sure that we're leveraging our client relationships into all of our products, the cross-selling. There's a lot of work we're doing internally to make that better, and I think that might be starting to pay off. And I think also, we are in a situation where there is just continued consolidation in the industry, which makes it a kind of a fertile environment for us to gain share. So I think it's those 2 things working together.
Jeremy Hellman - Singular Research: Okay. And then, switching gears a little bit and just looking at book value growth. 9%, obviously, you had an acquisition -- a large acquisition that drove a significant portion of that. Just thinking longer term, are you willing to give any kind of parameters on what sort of annual or longer-term CAGR you might expect for book value growth? And I realized acquisitions are part of the game here, and that's kind of difficult to model.
Sean Michael O'Connor: Well, I think what we've repeatedly said -- I mean, we don't give guidance in the traditional sense, but I think we have been pretty consistent in saying that our long-term target is a 15% ROE. All things being equal, if you achieve a 15% ROE, your book value is going to compound at 15%. So the other factors that could weigh into that are issuing stock above or below book value. I mean, those can either be accretive or nonaccretive to that baseline. And acquisitions, which -- I guess, you got 2 factors with the acquisition, the sort of cost of the acquisition, which can either be accretive, but most likely not diluted to book value per share. But obviously, that enhances your earnings potential, your ability to achieve that ROE target. So we believe sort of 15% is in the kind of, current environment, a challenging, but achievable goal. I think we've proven we can do it now. As I said in my opening comments, I think in a more normalized interest rate environment, if we ever see that again, that could easily add 5 to 7 points onto that baseline. So we think we've got a good business model that can make something like 12% to 15% ROE base case in this kind of environment. In a more normalized interest rate environment, that probably gets closer to 20%. And if we're smart about how we raise capital and how we execute on transactions, we can do a little bit better than that. Is that all [indiscernible]?
Operator: [Operator Instructions]
Sean Michael O'Connor: Well, it looks like we don't have any questions. So with that, I think let's conclude the call. And we'd like to thank everyone for their participation today. Thank you, operator.